Operator: Ladies and gentlemen, thank you very much for standing by. Welcome to the Suburban Propane conference call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session; instructions will be given at that time. (Operator Instructions) And as a reminder, this conference is being recorded. This conference also contains forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934 as amended relating to the partnerships, future business expectations and predictions and financial conditions and results of operations. These forward-looking statements involve certain risks and uncertainties. The Partnership has listed some of the important factors that could cause actual results to differ materially from those discussed in such forward-looking statements, which I refer to as cautionary statements and its earnings press release which can be viewed on the company’s website on subsequent, written and oral forward-looking statements attributable to the partnership or person acting on this behalf are especially qualified in their entirety by such cautionary statements. I’ll now like to turn the conference over to Davin D’Ambrosio. Please go ahead.
Davin D’Ambrosio: Thank you Linda and good morning. Welcome to Suburban’s fiscal 2010 third quarter results conference call. I’m Davin D’Ambrosio, Vice President and Treasurer at Suburban. Joining me this morning is Mike Dunn, President and Chief Executive Officer, Mike Stivala, our Chief Financial Officer. Purpose of today’s call is to review our third quarter financial results along with our current outlook for the business. As usual, once we’ve concluded our prepared remarks, we will open the session to questions. However, before getting started, I would like to take a moment to reemphasize what the operator has just explained about forward-looking statements. Additional information about factors that could cause actual results to differ materially from those discussed in forward-looking statements is contained in the Partnership’s SEC filings. Including its Form 10-K for the fiscal year ended September 26, 2009 and its Form 10-K, excuse me, 10-Q for the period June 26, 2010 which will be filed by the end of business today. Copies of these filings maybe obtained by contacting the Partnership or the SEC. Certain non-GAAP measures will be discussed on this call. We have provided a description of those measures as well as a discussion of why we believe this information to be useful in our Form 8-K furnished to the SEC this morning. The Form 8-K can be accessed or linked on our website at suburbanpropane.com. At this point, I will turn the call over to Mike Dunn for some opening remarks. Mike?
Mike Dunn: Thanks Davin and thanks everyone for joining us this morning. Let me begin by saying we’re pleased with the efforts of our employees to deliver these operating results in the midst of what continues to be a very challenging operating environment. The ongoing effects of the weak economy on our commercial and industrial customer base as well as on the buying habits of our residential customers, has certainly influenced our operating results. In addition, while weather in the third quarter does not typically impact volumes as it can during the winter months, volumes especially in the Northeast were negatively impacted by unusually warmer than normal temperatures that began in March and carried into the third quarter. Mike will provide little more detail on that later on. In the meantime, we continue to discuss a focus on our growth initiatives both internally by delivering quality customer services and externally through the acquisition of small to mid size propane operators in markets where we have presence. Thus far this fiscal year, we had closed on three acquisitions and are actively pursuing several others. In a moment, I will comment on our outlook for the remainder of the fiscal year, however at this point, I’d like to turn the call over to Mike Stivala, to discuss our third quarter results in more detail. Mike?
Mike Stivala: Thank you Mike, and good morning everyone. As we discuss our third quarter results to be consistent with previous reporting, I am excluding the impact of a $281,000 unrealized non-cash gain applicable to FAS 133 accounting compared to an unrealized non-cash loss of 6.1 million in the prior year third quarter. Adjusted EBITDA for our fiscal 2010 third quarter totaled $9.1 million, a decrease of 8.6 million compared to $17.7 million in the third quarter of fiscal 2009. Our seasonal net loss totaled $6.9 million or $0.19 per common unit for the third quarter of fiscal 2010 compared to a net loss of $1.3 million or $0.04 per common unit in the prior year third quarter. The net loss for the third quarter of fiscal 2010 included a non-cash charge of $1.8 million to accelerate depreciation expense on assets that were retired. Retail propane gallon, sold in the third quarter of fiscal 2010, decreased 5.2 million gallons or 8.5% to 56 million gallons from 61.2 million gallons in the prior year third quarter. Sales of fuel oil and other refined fuels decreased 3.1 million gallons or 32% to 6.6 million gallons compared to 9.7 million gallons in the prior year. The primary factors contributing to the volume decline where the effects of the current weak economy and considerably warmer than normal temperatures throughout much of our service territories during the fiscal 2010 third quarter. As Mike indicated, while weather generally does not have a significant impact on sales volumes in our third quarter, the unseasonable warmer temperatures particularly in the Northeast negatively impacted our volumes. Overall, average temperatures in our services areas for the quarter were 16% and 9% warmer than normal in the prior year third quarter respectively. In fact, in the Northeast, average temperatures were nearly 30% warmer than normal for the third quarter of fiscal 2010. In the commodity markets, propane prices trended down for much of the third quarter of fiscal 2010. Nonetheless, the average posted prices for propane and fuel oil for the third quarter of fiscal 2010 increased 49.2% and 35.5% respectively compared to the prior year third quarter. Today, stock propane is trading at about $1.12 per gallon basis in Mount Bellevue and spot heating oil is trading around $2.18. Total gross margins of $91.2 million for the third quarter of fiscal 2010 were $11.9 million or 11.5% lower than the prior year of $103.1 million. The lower gross margins were attributable to lower volumes and as we previously discussed the first nine months of the prior year benefited from a rapid and dramatic decline in wholesale propane prices that resulted in increased margins which we did not expect to be repeated this current fiscal year. Combined operating and G&A expenses of $82 million were $3.4 million or 4% lower than the prior year primarily due to lower variable compensation which is attributable to lower earnings continued operating efficiencies and savings and insurance costs. As per bad debts, we continue to diligently manage our receivables which can negatively affect volumes. Overall, our bad debt expense, as a percentage of revenues, has remained within historical levels and our aging profile continues to improve. Interest expense for the third quarter of fiscal 2010 of $6.8 million was $3.3 million or 32.7% lower than the third quarter of the prior year as the result of the reduction of $183 million in total debt during the second half of fiscal 2009. Total capital spending for the quarter was $3.5 million which included 2.9 million of maintenance capital. Turning to our balance sheet, cash on hand at the end of the quarter totaled $170 million and we continue to fund all of our short-term working capital requirements through internally generated cash. Additionally, we have funded our external growth initiatives entirely from cash on hand. Further more, as a reminder over the past 12 months we’ve completely refinanced all of our outstanding debt obligations, with the result that we do not have any upcoming maturities until our bank revolver matures in June 13. Our leverage profile remains lower relative to our peers at 1.7 times EBITDA or less than 1 times EBITDA after considering the 170 million of cash. Overall, our operating results for the first nine months of fiscal 2010 are in line with our expectations, despite the challenging economic environment, higher commodity prices and adverse weather throughout much of our service territories. Back to you Mike.
Mike Dunn: Thanks Mike. On the strength of these earnings coupled with our strong financial position as announced on July 26, our Board of Supervisors declared the 17th consecutive increase in our quarterly distribution rate to an annualized rate of $3.38 per common unit, which will be paid on August 10 to our unit holders of record as of August the 3rd. This represents a 2.4% growth over the prior year third quarter. At distribution coverage, at the end of the third quarter of fiscal 2010, was 1.34 times. As Mike stated, we are financially stand on a sufficient working capital or disposal, this keeps us in a strong position to take advantage of opportunities as they may arise. Looking ahead to the reminder of fiscal 2010, although there were no signs of relief from the current economic environment, we remain confident that our continued focus on operating efficiency, flexible cost structure and overall financial strength will enable us to effectively manage during these challenging times. In closing, I’d like to thank the employees of Suburban for the way in which they manage their respective operations, maintaining a focus on safety, and delivering a high quality of service to our customers and being an active member in the communities we serve. As always, we appreciate your support and attention this morning, and would now like to open the call for questions. Linda, can you help us with that?
Operator: Certainly, thank you. (Operator instructions) And our first question come from the line of Michael Cerasoli, please go ahead.
Michael Cerasoli – Goldman Sachs: Good morning. You mentioned in the press release that you have closed three acquisitions this year, how many customers in propane gallons have been added in aggregate and how does the acquisition environment look at the moment?
Mike Dunn: Customer cap was around 4,500 and the gallons I would say a little less than 3.5 million. And what was the second point Mike?
Michael Cerasoli – Goldman Sachs: How does the acquisition environment look currently, going forward or at the moment?
Mike Dunn: We’re working on another, as we said, we’re working on a few more and it actually looked promising quite frankly, I mean you’re seeing more people at least interested in talking about selling their business, more so today than I would say over the last couple of years.
Michael Cerasoli – Goldman Sachs: Cool. And then separately, how does the mandate in New York State reduce sulfur in home heating oil impact your operations and how does this mandate compared to specifications in the other state that you operate?
Mike Dunn: It’s really not a – it’s not a major issue. I mean it’s something that we’ve actually has – had access to think I guess three years ago, they started with the ultra heating oil if you will.
Michael Cerasoli – Goldman Sachs: Okay. And then more generically the economy, you mentioned the economy continues to impact your operations, is the environment continuing to deteriorate, is it stabilizing or is it modestly improving, if you could just get some more color there?
Mike Dunn: It’s probably stabilizing to a certain point, I don’t necessarily see it improving, I mean on the commercial side you’re still seeing unfortunately business is closed down and we’re limited need for product. From the residential side, obviously, people are extremely mindful of their pocketbook and their buying CapEx have changed significantly which is something obviously that we noticed, not only it was weathering impact in March, April if you will, even though March is not part of this quarter, but people typically use that period of time to replenish their supply and moving into the summer and so forth. And that didn’t happen in typical fashion.
Michael Cerasoli – Goldman Sachs: Yeah. Very helpful, thank you.
Mike Dunn: You’re welcome.
Operator: Thank you. Our next question comes from the line of Gabe Moreen. Please go ahead.
Gabe Moreen – Bank of America/Merrill Lynch: Hey, good morning everyone.
Mike Dunn: Good morning Gabe.
Gabe Moreen – Bank of America/Merrill Lynch: Wondering if I could just tease out a little bit more I guess on the volume declines and the weather impact I guess of the 8.5% decline in propane volumes, is it possible to sort of disaggregate how much was weather versus how much was just baseline conservation?
Mike Dunn: Well, I mean Mike can possibly quantify a little bit better but I mean overall, April was our softest month which was the – which was impacted obviously most by weather. And in May and June our business got back to a non-weather effected business if you will and we’re able to pull the quarter out and get our year-to-date results really in line with our expectations.
Mike Stivala: Yeah. I think the conservation in fact Gabe has been consistently in that 3 to 4% now for several quarters and I think to Mike’s point, on Mike’s question earlier about stabilization or deteriorating, continue deterioration from the economy are non-residential volumes were not down nearly as much as they’ve been the last several quarters. So the volume effect for this quarter really was related to the volume in the residential side that was attributable to the weather in April mostly. May was a good month and then June we’ve picked up a little bit more but the quarter from a weather perspective was primarily made and or not made for – as the case maybe in April.
Gabe Moreen – Bank of America/Merrill Lynch: Got it, that’s helpful. Thanks guys.
Mike Dunn: Thank you.
Operator: Thank you. And next we’ll go to the line of Darren Horowitz, please go ahead.
Darren Horowitz – Raymond James & Associates: Hey, good morning guys. Just a quick question as it relates to the fiscal fourth quarter, how did volumes in July track relative to the year ago month?
Mike Dunn: Actually not – pretty, pretty close to the way the quarter, the third quarter had a little bit better than that.
Darren Horowitz – Raymond James & Associates: Okay. I’m just trying to get a feel for the carry forward impact here as you guys round out the fiscal year, obviously the comp of 49 million retail propane gallons sold in last year’s fiscal 4Q was down I think 12% or 13% year-over-year, so it would appear obviously difficult to predict weather but it would appear all else being equal that if you continue to get a 3% to 4% drag from a conservation standpoint that maybe volumes are tracking closer to the low to mid-50 million gallon range, is that fair?
Mike Dunn: That would apply an increase over last year.
Darren Horowitz – Raymond James & Associates: Or I’m sorry, you probably – maybe mid 40?
Mike Dunn: Yeah.
Mike Stivala: That’s more like it.
Mike Dunn: That’s more like it, yeah.
Darren Horowitz – Raymond James & Associates: Mid to high 40s, is that right Mike?
Mike Dunn: Yeah.
Mike Stivala: Yeah.
Darren Horowitz – Raymond James & Associates: Okay.
Mike Dunn: Yeah.
Darren Horowitz – Raymond James & Associates: All right. I don’t – that’s all I had, thanks.
Mike Dunn: Thank you Darren.
Mike Stivala: Thanks Darren. Thank you.
Operator: Thank you. (Operator Instructions) And now we’ll go to the line of Ron Londe. Please go ahead.
Ron Londe – Wells Fargo Securities: Yes. Could you kind of walk us through the shortfall in EBITDA versus last year? How much of that do you attribute to margin and how much to volume. I guess basically what I’m asking is margin per gallon, can you give us a feel for that for propane?
Mike Dunn: I – I would say Ron that the majority of the shortfall was volume, I mean margins for the quarter we’re tracking pretty close to last year’s quarter. We’ve been able to hold on to the majority of last year’s increases in margins, although contract to slightly below, so the majority was volume.
Ron Londe – Wells Fargo Securities: Okay. Your growth CapEx for the quarter was about $600,000, which is materially lower than last year at this time. Does that reflect kind of a lack of growth initiatives or – and in that number, in that $600,000 number is that kind of any of the acquisition in there?
Mike Dunn: No. The acquisition would not be in there, that’ll be the separate line of cash flow statement. But as for growth, I don’t think it’s really reflective of lack of growth initiatives, it’s really from our perspective when we talk about growth CapEx, it is new tanks and I think what we’ve been able to do is we circulate some of our tanks that we refer to put them into new installations. So that’s really the impact, not a lack of growth initiatives by any stretch.
Ron Londe – Wells Fargo Securities: Okay. Yeah it was kind of a big change there and I didn’t – I want to get a little color on that. That’s about all I have, thanks.
Mike Dunn: Thank you Ron.
Mike Stivala: Thanks Ron.
Operator: Thank you. And next we’ll go to the line of John Tysseland. Please go ahead.
John Tysseland – Citigroup: Hi guys, just a quick question. On a debt adjusted basis, you guys trade at one of the I guess lower valuations in the space and obviously with the low leverage, the business appears to be shrinking although it’s just because economic times and possibly a little bit more exposure to the commercial side, but any thoughts in growing from an acquisition perspective. I know you’ve made a few transactions but something that would lever the balance sheet a little bit more and if so, you talked about the midstream in the past, just what are your thoughts these days and just kind of what are you thinking from an overall corporate strategy perspective?
Mike Dunn: No. I think John, I mean – obviously we’ve changed our strategy from years past by actually getting involved in the Mom and Pop opportunity, we’re doing that simply because we don’t see anything right now outside of propane that makes any sense. Obviously we would still be interested in doing something which I want to call the midstream sector on a fee base type base business, but again you’re not really seeing anything that don’t carry – that doesn’t carry reasonably significant trading element to it, which is something that we’re not interested in getting too terribly involved in. As far as the acquisitions are concerned, the first thing that we did were reasonably small, they were able to fold right into our existing businesses. We are looking at a couple of others that are a bit larger in size. But for the most part, you don’t have to too many of what you had before, like there isn’t a Liberty out there, there isn’t a Star Gas out there. So you’re not – it’s kind of take some time. As for looking at one of the competitors, one of our major competitors, I mean multiples are just off the charts with respect to what the market is paying, so you really can’t get share this consideration in that direction at least at this point. I don’t know if that answered your question, I mean I could tell you that we’re actively pursuing different opportunities. It’s just that we’re not going to do something just for the sake of doing something.
John Tysseland – Citigroup: I guess, looking at the low leverage, is this something that you would that management is interested in I mean taken private or is it just something that it’s just going – you’re kind of continue to pay down debt and manage your business conservatively?
Mike Dunn: Well, we’re going to continue to manage our business conservatively, I don’t know that we’re going to pay down any more debt and I don’t know that the idea of taking it private could make any real sense with the loss of the MLP status.
John Tysseland – Citigroup: Sure. All right, thanks guys.
Mike Dunn: You’re welcome.
Mike Stivala: Thanks John.
Operator: Thank you. And we’ve no further questions, please continue.
Mike Dunn: Great. Well thank you everybody for your support once again and thank you Linda for your assistance this morning.
Mike Stivala: Thank you Linda, and again thanks to everyone.